Operator: Good morning, and welcome to the Simmons First National Corporation First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ed Bilek, Director of Investor Relations. Please go ahead. 
Edward Bilek: Good morning, and welcome to Simmons First National Corporation's First Quarter 2024 Earnings Call. Joining me today are several members of our executive management team, including our Executive Chairman, George Makris; CEO, Bob Fehlman; President, Jay Brogdon; and CFO, Daniel Hobbs. Today's call will be in a Q&A format. Before we begin, I would like to remind you that our first quarter earnings materials including the earnings release and the presentation deck are available on our website at simmonsbank.com under the Investor Relations tab. 
 During today's call, we will make forward-looking statements about our future plans, goals, expectations, estimates, projections and outlook, including, among others, our outlook regarding future economic conditions, interest rates, lending and deposit activity, credit quality, liquidity and net interest margin. These statements involve risks and uncertainties, and you should therefore not place undue reliance on any forward-looking statements as actual results could differ materially from those expressed in or implied by the forward-looking statements due to a variety of factors. Additional information concerning some of these factors is contained in our earnings release and investor presentation furnished with our Form 8-K today and our Form 10-K for the year ended December 31, 2023, including the risk factors contained in that Form 10-K. 
 These forward-looking statements speak only as of the date they are made, and Simmons assumes no obligation to update or revise any forward-looking statements or other information. Finally, in this presentation, we will discuss certain non-GAAP financial metrics we believe provide useful information to investors.  Additional disclosures regarding non-GAAP metrics, including the reconciliations of those non-GAAP metrics to GAAP are contained in our earnings release and investor presentation, which are included as exhibits to the Form 8-K we filed with the SEC this morning and are also available on the Investor Relations page of our website, simmonsbank.com. 
 Operator, we are ready to begin the Q&A session. 
Operator: [Operator Instructions] Our first question comes from David Feaster from Raymond James. 
David Feaster: Maybe let's just start out with loan growth. That was great to see. It was above forecast, driven by construction fundings and the pipeline has grown. I'm just curious, how do you think about loan growth? What's the pulse of your clients? I'm just trying to get a sense of whether the increase in the pipeline is driven by increasing demand? Whether it's increased appetite for credit on your end? Or just any thoughts on the growth outlook would be helpful. 
Jay Brogdon: Yes, David, this is Jay. I'll jump in with some initial remarks on that. We were pleased with the loan growth in the quarter. And in particular, I'll call out in the fourth quarter and again this quarter,  these are sort of seasonal unfavorable periods of time from an ag perspective. And so we should see some tailwinds from that throughout the next couple of quarters. So to see some loan growth in the first quarter. You hit it on. I mean a lot of it came from the construction bucket. I'll point out some of that is fund ups of unfunded commitments, right? And so keep that in mind. Our pipeline, I'd say is not a change in our outlook from a credit perspective. We are seeking loan growth. We are being incredibly disciplined, both from a credit and from a pricing point of view. So I'm pleased to see some expansion in the pipeline, given that discipline, but it's really not indicative of a change in our outlook or optimism or aggressiveness around loan growth. I just put it more toward the category of disciplined execution at this point. When I think about -- I'll kind of wrap my comment up with this, David. When I think about the outlook for loan growth in the balance of the year, it's a balanced outlook. We continue to sort of think in that low single-digit kind of range is we think the right range. There are some fund-ups we'll continue to see on the construction side. We'll see some success pulling things through the pipeline, but we expect some healthy paydowns from some of the existing projects that are out there that will hit the permanent market, et cetera. And when you think about a rate higher-for-longer environment, that doesn't make me more optimistic about loan growth. Again, we're seeing borrower demand out there. But we put all that together and continue to think that we'll need to stay focused to deliver on the loan growth that we expect in the balance of the year. 
David Feaster: Okay. Great. That's helpful. And then maybe touching on the other side, the funding side. Just curious how you think about deposit growth. You've been pretty successful, especially in the money market and savings account side, supplementing that with higher cost wholesale funding on the CD side. Just curious, how do you -- what's your deposit growth strategy today? And then just any thoughts on NIB trends that you're seeing? And how you think about funding loan growth going forward? 
Jay Brogdon: Yes. I think we have seen some success in the interest-bearing side of the equation. And so that's a good thing. We'll continue to stay focused there. We have considerable efforts around combating the NIB trends that the industry is facing right now. And so we think we've got some levers we can continue to pull there to combat those trends. So we're very focused on that and we'll continue to be. To give you a glimpse, David, of some of the trends, really the -- if I look back throughout the quarter, think of it kind of on a monthly basis, the -- really the only month worth noting of deposit or NIB migration happened in January. So unfortunately, from a NII or margin perspective as it relates to the quarter, that event took place early in the quarter. You've got to pierce through some seasonality, both in Q4 and Q1 to really kind of get a sense of what the core trends are. But when we look at February, March and even to date in April, we see a lot better trends in NIBs than what we saw in January. So that makes me a little bit optimistic. I'm still going to be cautious, again, given some of the seasonality and just same pressures, I mentioned, from a rate higher-for-longer on the loan growth side, that's going to be a threat on the deposit migration side. But the last few months have been favorable towards us. And hopefully, we can see that kind of continue over the coming months and quarters. 
Robert Fehlman: David, one thing I'd point out, too, we track a number of customers, and we're seeing a continual increase in our number of customers. So it's not decreasing customers, and we point this out each quarter. Our customers, just like across the country, everybody has less money in their accounts, number one, from inflation. And number two, they're looking at moving their money to higher rates out of noninterest bearing. So we're all dealing with it. As Jay said, we feel we had a little bit of optimism in February, March. I don't know if that's a trend yet. But that's a hard one to control. What we can control is taking care of our customers and getting new customers, and that's what we're focused on today. 
David Feaster: For sure. And those are some encouraging trends. Maybe just putting it all together, just curious, how do you think about the margin trajectory? I mean last time we talked, we're kind of expecting a modest improvement over the course of the year. Curious how you think about the margin trajectory as we look forward? And then how do you think about managing the balance sheet? I mean you're structurally well positioned for a higher-for-longer environment just given the core deposit base and the earning asset repricing side. So just curious how you think about managing the asset sensitivity at this point, given we're pretty rate neutral? 
Jay Brogdon: Yes. I'd say, David, a couple of comments on that to try to unpack. First of all, I think the guidance or the outlook that we sort of gave back in January is generally still intact. We talked about the first couple of quarters this year sort of being a little bit range-bound from a margin perspective, down a couple of basis points in the first quarter, sort of within that range in my mind. I expect that to sort of be the same case in the second quarter. If we -- again, the majority of that headwind in the first quarter was from January NIB declines. We haven't seen as much of that since then. So we're doing our best to kind of hold the line in the first part of the year here, and the expectation for margin expansion throughout the balance of the year, the second half of the year and sort of increasing expansion into next year is still our expectation. A couple of things that I would sort of footnote to all of that. One is we have some liability sensitivity in the balance sheet. And so that is going to be a macro factor that we don't have full control over what the Fed is going to do nor when the Fed is going to do it, but we do expect to have some benefits when rates do start coming down. The second thing I'd point out is if you isolate for deposit migration, NIB migration, in particular, and just look at the repricing of assets and liabilities throughout the year this year that would naturally lead toward, as we look at all of that toward margin expansion. And so we think that's a good setup for us throughout the balance of the year. The wildcard and the most difficult one really to predict is the level of NIB migration. So that will be the one, I think, that really helps further shape that inflection and how steep or not that inflection is over the balance of the year. 
Operator: The next question comes from Woody Lay from KBW. 
Wood Lay: I wanted to start out on deposit costs. I know we sort of in the first quarter, had a wave of CDs maturing. Could you just talk to where those CDs priced up to? And have your current CD offerings changed much quarter-over-quarter? 
Edward Bilek: Do you want to take that, Daniel? 
Charles Hobbs: Yes. So Woody, this is Daniel. So if you go back and look at our customer CDs over the last 30 day-ish that we have priced that's a net 3, call it, 3.50 to 3.60 range. And then naturally, if you look at the brokered CDs, that's going to be more of a wholesale level. And so if you look at on Page 15, in our second quarter, we've got about $1.8 billion that's going to reprice. Now there's a piece of that, that's probably going to be more than that 3.50. There's one particular customer in there that's a public customer that's going to be higher than that. So I would tell you that group is probably going to reprice in that 3.75% to 4% range, but absent of that one customer, we have, call it, $1.4 billion that's going to reprice in that 1.50 range. And so -- excuse me, 3.50 range. And so if that new production goes on like historic production over the last 30 days, we think there's some opportunity there to the margin. 
Wood Lay: Yes. So do you think it's fair to assume that the pace of the deposit cost increases -- begins to moderate in the second quarter? 
Jay Brogdon: I would say so. Yes, I'll jump in on that. I think that's fair. I think we're actually seeing that. And it kind of goes back to my comment just a couple of minutes ago to David's question. If we isolate for just repricing, not volume or migration and look at asset and liability repricing, we think there's some opportunity on both sides that are favorable to margin as we move forward. 
Wood Lay: Got it. And then last for me, I just wanted to shift over to credit. I appreciate all the details you break out on the NPA segment. But I was just curious on any trends you're seeing in the criticized or classified segments in the quarter? 
Jay Brogdon: So what I'd tell you -- I appreciate that question. Classifieds on a linked quarter basis are essentially flat. So when I think about leading indicators from a credit perspective, the couple of metrics I focus on are classifieds being flat linked quarter. And then past due loans are actually down linked quarter, and we were pleased with our level of past due loans at 24 basis points in the fourth quarter. Those came down to 19 basis points in the first quarter. So overall credit feels very stable to us. We're certainly focused on a couple of pockets within the classified portfolio, and we'll be, as we historically are, we will be conservative in how we deal with those classified areas. I'd maybe give you 1 sub-bullet on the past due trends just to further shape that, at 19 basis points where we ended the quarter, of that within the commercial portfolio, which is obviously the much larger dollar volume of our total portfolio, we're at kind of mid-single digits level of basis points of past dues. So overall, I feel pretty good about the credit picture as it relates to the broader core portfolio. 
Operator: The next question comes from Thomas Wendler from Stephens. 
Tom Wendler: I wanted to start off with operating expenses that came in around 2% average assets this quarter. Is that how we should be thinking about them moving forward? 
Charles Hobbs: Thomas, this is Daniel. Yes, I think that's fair. It may be slightly above that as we go forward. But I'll take you back to kind of what we guided last quarter. We told you that we'd be down 1% to 2% from our Q4 adjusted annualized number, which is about $566 million. So you can do that math and that will get you to that $555 million  to $560 million number for the year. And then if you take the -- where we came in for the quarter, we're at 137, 138, you just kind of do that math. So we feel pretty good about the quarter. We feel good about the forward view of that. And we have a long-term goal to get our efficiency ratio well below where it is today. And obviously, there's two components to that. There's the revenue side if we can get some rate and time to help us there. And then on the expense side, we feel really good about our ability to manage expenses. I think we've proven that over time with the Better Bank Initiative. And we've got a number of things that we're still have in the hopper that we're looking at, although we are making investments, so don't want to be lost on that. We're making investments in people, process and tools across the bank. So I would tell you, our guide doesn't change. There may be a little bit of seasonality. The first quarter had some payroll taxes and 401(k) that's generally higher. But then in the second quarter, you've got [ MERIT ] that's going to come in. So we'll stick to that guide. But I think back to your original question, 2%-ish is probably a fair place for us to be. 
Jay Brogdon: Yes. And the only thing I want to further emphasize there, Daniel hit it, we're making investments all across the bank. Our focus right now is pretty relentless in self funding those investments where we can. And we've had good success with that last year and into this year, and we'll continue to be very, very focused on that as well. 
Tom Wendler: Great. I appreciate the color there. And then just kind of shifting gears here. Can you give us an idea of your appetite for repurchasing shares at current levels? 
Robert Fehlman: Yes. I'll just kind of reiterate kind of what our strategy is on our capital right now. First off, it's our dividend to our shareholders and providing enough capital for organic growth. Those are #1 priorities for us. The next priority right now is our balance sheet optimization. In the fourth quarter, we had a bond sale. We would have liked to had another bond sale in Q1. The rates kind of moved against us as the 10-year moved up. We're going to time those when it's right to do it, not just doing to make them happen. We could -- what we call rip the band-aid off today, but we think there's a lot of analysis that we go through that shows it's better to be prudent and do it balanced over a period of time. So we continue to look at it. We didn't repurchase any shares in the first quarter. We're kind of in a wait and see of where we put that capital used to going forward is it balance sheet optimization, is it debt retirement is it stock buyback. Any of those is where we'd like to put that cash and capital to use. 
Operator: There are no more questions in the queue. This concludes our question-and-answer session. I would like to turn the conference back over to George Makris for any closing remarks. 
George Makris: Well, thank you very much for joining us this morning. As you can tell, our industry still has a lot of uncertainty and speculation associated with it, and we're looking forward to moving to a more neutral interest rate environment. And in the meantime, as we wait for this normalization, our focus is still on our solid principles of asset quality, capital growth and flexibility. I think you've seen that in our performance, and I think you can see that going forward. 
 I appreciate all of the work of this team, and we appreciate your participation today. Thank you very much, and have a great day. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.